Operator: Hello, and welcome to the Smurfit Kappa Group 2021 Half Year Results. [Operator Instructions]. Just to remind you, this conference call is being recorded. Today, I'm pleased to present Tony Smurfit. Please go ahead with your meeting.
Tony Smurfit: Thank you, Jean, and good morning, ladies and gentlemen. I'm very happy that you found the time to join us for our First Half 2021 Earnings Call. I'm joined today on the call by Ken Bowles, our CFO, who all of you know; and by Saverio Mayer, our CEO of Europe. We're all dialing in from different locations, so I hope there will not be any technical issues that interrupt the call or the discussion afterwards.  As is now customary, I refer you to the forward-looking disclaimer in the presentation.  During the course of this presentation, I hope you'll see that by any measure, Smurfit Kappa had a great first half. Our team operated at a very high level across the organization, dealing with freezes, floods, national strikes and unprecedented increases in short and shortages of raw materials to deliver a very strong set of results across all metrics.  I'm particularly proud that against this backdrop, we have, for the most part, been able to supply our customers. Our product is a critical component of the global supply chain, and I'm thankful that all of our people have gone the extra mile to ensure deliveries are maintained.  I think the numbers speak for themselves on this slide, recognizing that to some extent, they reflect what we said would be a pinch point as the passing of the input cost increases only really began in the second quarter. This cost pass-through has continued and will continue right into next year.  From a demand perspective, we are essentially sold out across all of our markets globally, and the strong volume growth is continuing. What I think is especially interesting is that demand increased in the first half by 9% versus 2019, a year uninterrupted by the pandemic, which I think demonstrates the step change in our industry and its prospects.  So you may ask yourself what is actually happening to the overall industry. Indeed, we are experiencing increased interest in our engagements with both existing and new stakeholders, be they customers, investors or even media who are taking more note of our business. Essentially, the glide path of our industry pre-pandemic was already strong. Both our customers and consumers in general have woken up to the fact that excess plastic waste was a huge negative for the environment.  Paper-based packaging is the obvious alternative being renewable, recyclable and biodegradable. So our product is in the right space for what the consumer actually wants today and in the right space for the planet. Of course, we need to do our piece also as an industry and reduce all our emissions and usages of precious resources. With ongoing technological advances, this is progressively being achieved, and this is something Ken will discuss our progress on later.  Additionally, e-commerce was and is becoming more and more a part of our lives. The pandemic has only accelerated this development with practically everyone now understanding the flexibility and convenience of e-commerce shopping. Increased levels of digitalization and personalization in the consumer experience of shopping online will provide further added value opportunities for corrugated packaging in the years to come. The final development for our industry has been the adaptive nature of our product and customers' understanding that with the right packaging supplier that our product, the corrugated box, can be used as a marketing medium for either direct sales or as part of a company's branding. The industry's advances in digital printing capabilities and increased personalization enhance the opportunities for corrugated packaging, our customers and consumers alike. These factors combined to significantly enhance both the value and application of corrugated and, as the slide says, are contributing to a transformation of the industry's prospects.  Putting the previous slide into context is better -- into context, Smurfit Kappa is better positioned today than at any other point in our history to capitalize on the very significant opportunities we continue to see. To ensure we put ourselves in the right position, 5 years ago, we launched a new strategic vision and Medium-Term Plan. We have delivered on this plan, and it has been at the heart of the transformation of the Smurfit Kappa business. As we progress through 2020, we continue to see opportunities and the need to invest behind us. And so we accelerated our plans as across our business, we saw, as I say, nothing but opportunities to grow and service our customers. Our €660 million capital raise late last year has effectively accelerated that transformation. In Smurfit Kappa, we embrace a performance-led culture, and we have core values that have stood us in good stead over decades. Obviously, people and culture are at the heart of what we do. We have loyal, long-service people who we empower to active owners, remembering that corrugated is, in many ways, a localized business. As I said earlier, our plant managers go the extra mile. And because our -- and because of our people, we have a product range in packaging that is ever expanding and unique. A small example of that is our highly energetic and complementary bag-in-box, which 20 years ago was effectively [indiscernible] whereas, today, we are number two in the world and continuing to grow rapidly.  Equally, much of our investment plan, while not also -- while not only improving the quality of the assets under management, is also adding specialization. And of course, with specialized market offerings comes complexity, requiring a level of expertise that only Smurfit Kappa can provide.  In most markets in which we operate, Smurfit Kappa is the leader, and this gives us a real edge. A good example of this is our recent Peruvian deal where a small independent company has essentially been given the keys to Aladdin's cave, where all our global market and innovation knowledge is now available to a business that had it practically nothing before. This can be seen across design, operational excellence, customer insights as an example, demonstrating the power of Smurfit Kappa and the opportunities that are available across all of our operations globally. Ken will, of course, talk about our sustainability credentials. However, I would say that we continue to work hard to use less, make less and save more in all areas of sustainability. We have published our progress for 14 years and have set new and ambitious goals to continue to drive the business forward. Of course, the previous slide refers to the key pillars that give Smurfit Kappa its competitive advantage. But that doesn't mean anything unless put into action. What I remain impressed with in Smurfit Kappa is the responsiveness, the agility and the creativity of our company. We're constantly inventing new innovative solutions, such as the replacement of plastic tubs with corrugated. By the way, a massive opportunity for us. We're solving customers' pain such as frustration-free packaging solutions for Amazon. We're moving customers away from plastic trays across many territories to corrugated trays, which in many instances include supplying erecting machinery. And we're developing our own bespoke waste collection system to deal with regulatory issues in Germany and in other countries in the future.  Today, Smurfit Kappa's 28 experience centers, which act as repositories for all the data, ideas and information that we're constantly developing and collecting. Whether the customer challenge is in understanding supply chains, the need for innovative designs, our increased shelf appearance, our selling organization can access this across our group and give our customers the most advanced and effective solutions in the industry.  In a world where our customers are increasingly focused on speed to market, sustainable packaging and providing online solutions, Smurfit Kappa is constantly innovating with its industry-leading applications such as SupplySmart, ShelfSmart and eSmart, which are supported by the largest data set in the industry, providing our company with a true competitive advantage. Another key strength of Smurfit Kappa has been our history in M&A. We buy things because they make sense for the development and value of our business, and we get real synergies. This slide illustrates that we are constantly active doing both smaller and larger deals with over €770 million spent on M&A since 2018 alone. We're also happy to enter new territories where we can really bring our expertise in paper or corrugated to good effect, transferring best practice and knowledge and supporting our customers. Equally, I remain really proud of the retention of people in most deals as, again, they see our company as a good place to work. During our strategic planning process 5 years ago, we recognized that our corrugated growth would need paper capacity to retain our integrated model approach for the benefit of all stakeholders. As such, we had expected to build a machine in Europe. However, reflecting the agility and flexibility of our plan, we instead bought the Parenco paper mill in the Netherlands 3 years ago in place of the organic internal mill project. This acquisition is now at our expectations and practically fully integrated into our system.  Today, I'm particularly delighted to announce that we've been able to once again acquire containerboard for present and future growth by entering into an agreement to purchase a truly world-class asset in Verzuolo in Northern Italy.  I will now turn you over to Saverio Mayer, our CEO of Europe, who will brief you on the specifics. Saverio, over to you.
Saverio Mayer: Thank you, Tony, and good morning, ladies and gentlemen. As Tony did say, I'm also really delighted to be able to inform you about our agreement to acquire the Verzuolo mill located in Northern Italy.  As Tony has said, we have experienced and continue to experience very strong demand within our corrugated business across all our European operations. And with this, our short position on recycled containerboard has grown ahead of expectations.  While we are flexible to use third-party purchases to augment our integrated system, our assurance to customers is that we will be a predominantly integrated producer. This acquisition ensures that as we offer customers innovative and sustainable packaging solutions that drive additional growth and that we can match this demand growth with security of high-quality supply. Verzuolo is a mill we have studied for a number of years as it ticked all of our boxes from every strategic and operational perspective. First of all, it is a state-of-the-art 9.8 meter machine, which is in its ramp-up phase, having been built in 2002 and converted just 18 months ago to containerboard. The management team and operational personnel are really skilled paper makers, and we welcome them to Smurfit Kappa. In terms of our customer offering, Smurfit Kappa Solutions are clearly superior to that of the competition. And by the end of 2022, we will have added over 20 corrugated conversion machines in Italy, France and Spain alone, delivering additional capacity to cater for our customer growth. Against this, the Verzuolo mill location is perfectly located for supplying the growth of this corrugated plants in Italy, France and Spain, and further strengthen the Smurfit Kappa integrated model in the region.  The mill also enhances our operational flexibility. While we will continue to supply third parties from the mill, we will also be able to supply additional tonnage to our own integrated system. Bringing this mill into our system allows us to delay another conversion project for a number of years as we carousel our produced tonnage between Northern and Southern Europe.  And finally, the port of Savona allows for international shipment and integration opportunities with our Americas business, if needed in the future, providing additional flexibility to our system. We are buying this operation significantly below replacement cost at €360 million and with no start-up risk. While Burgos has done an excellent job in developing the mill, their primary expertise is in graphic papers, and they have no corrugated integration. As such, with our ability to have internal customers, we will be able to balance the machine better, giving greater efficiency. Equally, there will be savings in transport, energy and other area, which will bring this mill to be one of our most efficient in our system as we develop it further into the future. I'm extremely pleased that we have agreed to acquire this asset. This will bring high-quality lightweight tonnage into our system that we urgently need to meet our growth, which is currently under pressure due to a lack of paper. With this asset now, part of Smurfit Kappa, we will be able to better meet the growth of our corrugated plants and most importantly, our customers, as the drive for more sustainable packaging solution continues to grow. I hope you will get the sense from this presentation that we have a track record of successful and effective M&A integration. I will now pass you to Ken to take you through the financials.
Ken Bowles: Thanks, Saverio. And congratulations on the superb deal, executed in a very tight time frame of just 41 days. I think it speaks a lot to how we do things in Smurfit Kappa. Good morning, everybody, and again, thank you for taking the time to join us.  Looking at our first half results. We are pleased to deliver yet another strong performance in the first half of 2021. This performance again illustrates the benefits of the group's integrated model, our performance and culture, our customer-focused innovation and our capital spend program. It is also important to remember that these results have been delivered against the backdrop of significant raw material headwinds, which we continue to work hard to and do overcome. Group revenue was €4.7 billion for the year, up 11% in the first half of 2020 or 13% on an underlying basis. The rise primarily -- represents primarily the impact of our strong volume growth in the half with an element of box pricing. And although negatively impacted by currency, group EBITDA was still up 6% to €781 million. We saw a reduction in the EBITDA margin from 17.5% in the first half of 2020 to 16.7% in the first half of 2021. The margin for the first 6 months reflects a lower margin year-on-year in Europe and a higher margin in the Americas. And as Tony mentioned earlier, we began to see the passing through of raw material increases in our box price in the second quarter. And all things being equal, we anticipate margin expansion as we pass through the second half of the year.  Free cash flow for the first half was €117 million compared to €238 million in the first half of 2020. An EBITDA increase of €46 million and lower capital outflows for CapEx of €26 million was more than offset by higher working capital, primarily as a result of much higher volume and tax payments of €163 million and €24 million, respectively. The management of working capital, as you know, remains always a focus for us and the working capital as a percentage of sales is 8.1% at June 2021 compared to 8.4% this time last year. And we anticipate that working capital will continue to trend in that 7% to 8% range as we move through the rest of the year. Our cash interest reduced year-on-year as a result of lower average levels of borrowing. And we're also pleased that during the first half of 2021, both Moody's and Standard & Poor's upgraded the group's long-term issue rating to Baa3 and BBB-, respectively. With a strong business profile and our ability to consistently deliver substantial free cash flow, the group is aiming to maintain investment-grade credit ratings and a leverage in the 1.5x to 2x range. With our current investment program, we aim to get to the midpoint of that range through the cycle.  Finally, reflecting the resilience of the cash flows and indeed our future prospects, we are pleased to announce a 5% increase in the interim dividend to €0.293 per share.  Turning now to our European operations and their performance in the first half of 2021. EBITDA increased by 3% to €591 million, primarily as a result of strong volume growth and the early progress on box prices -- box price increase, as I mentioned earlier. The EBITDA margin was 16.2%, down from 17.6% on the same period in 2020.  Corrugated demand, though, was up approximately 10% in 2020, and as Tony referenced earlier, 9% in 2019. European pricing for testliner and kraftliner has increased by €220 per tonne and €200 per tonne, respectively, from the low of September '20 to June 2021. And as we begin the second half of the year, inventories remain extremely tight, demand remains strong and prices for containerboard have risen further since the end of the first half.  Finally, we continue to make progress on our European capital investment plans in the first half of 2021 with the commencement of a number of significant projects across our Corrugated and Paper divisions. In our Paper division, we announced growth projects in Germany and a significant sustainability investment also in Germany, which, upon completion, will reduce our group CO2 emissions intensity by 2%. In our Corrugated division, we announced significant expansion projects in France, Czech Republic, Slovakia, Poland and the U.K. We've also recently announced the completion of an increased capacity investment in our Spanish bag-in-box plants. These projects will enable us not only to supply our customers with ever more sustainable products, but also reduce costs through other systems.  And now turning to the Americas. In the Americas, EBITDA increased by 19% in the first half of 2020 to €211 million. The EBITDA margin also increased from 19% in the first half of 2020 to 20.4% in the first half of 2021, delivered against the backdrop of not only rising input costs, but difficult weather conditions in the Southern U.S. in the first quarter and a challenging second quarter in Colombia due to national strikes. Colombia, Mexico and the U.S. accounted for almost 80% of the region's earnings with strong performances in all 3 countries. Corrugated demand for the first half was up 11% year-on-year.  As Tony mentioned, we have recently announced the acquisition of 2 operations in the Americas, a new territory in Peru. And in Mexico, further expanding not only our geographic, but also our customer reach. Our Better Planet Packaging initiative, our unique Pan America sales offering, together with our experience center network and coupled with the benefits derived from our investment in the region in recent years, continue to deliver growth for both SKG and our customers in the region. And similar to our investment in our European business, we've also recently announced significant expansion and sustainability focused projects in our paper, corrugated and sack businesses in Colombia, North America and Central America.  SKG continues to make significant progress in achieving its sustainability targets as outlined in our 14th Sustainable Development Report. The report highlights the group's long-standing objective to drive change and positively contribute to a greener planet through the 3 key pillars of planet, people and impactful business. We were the first in our industry to target at least net zero by 2050. And compare it to our baseline year of 2005, the group has reduced its emissions intensity by 37.3% by the end of last year. The reduction in 2020 versus 2019 was 7%, which is an acceleration compared with the previous year. We are well on our way to reach our intermediate 2030 target of 55% reduction, in line with the EU Green Deal objectives. We also made continued progress on a number of our other key sustainability targets. Water discharge quality improved by 5%, waste-to-landfill intensity decreased by 18%, Chain of Custody certified packaging deliveries to customers increased by 2%. Our safety performance improved by 29%. And in social projects, we had €7.7 million in donations, including €3 million in various COVID-related projects during the financial year.  And while the report has been independently assured since 2009, our 2020 Sustainable Development Report is our first report in line with recommendations of the TCFD and the SASB. SKG also aligned its sustainability ambitions and targets into its refinancing and embedding its sustainability targets via key performance indicators into our existing €1.35 billion revolving credit facility, creating a sustainability-linked RCF.  And the group has been contributing to making the UN 2030 Sustainable Development Goals a reality since 2015. This contribution was recognized by the support of the Goals Movement in 2021 when the group became the first FTSE 100 company to receive a 5-star rating. By committing to these sustainability projects, the group's Better Planet Packaging portfolio of sustainable products will continue to help our customers deliver on their own sustainability goals.  And finally, these are reminders on how we see capital allocation as a framework. And as always, it's a returns-focused framework with the view to remaining agile and flexible in order to ensure that we track the opportunities we see around us. And while the framework has and will remain consistent, what has changed is the opportunity set that we see around us and the balance sheet to support it, either through internal investment or M&A. We believe capital allocated to internal projects is key to the continued growth and performance of the business. The opportunity set driven by areas such as the consumer desire for a more sustainable world and the growth of maturity of e-commerce is real, and we're investing behind those opportunities.  Equally, we remain disciplined when it comes to M&A. Verzuolo is the perfect example of this approach in action. As always, we have a number of projects in the pipeline focused on building out our strong geographic network or further enhancing our product portfolio or, indeed, in the case of Verzuolo, strengthening the integrated model. As always, M&A continue to benchmark against all other capital allocation options. The dividend is a key pillar of our thinking around capital allocation. I'll reiterate what I said before, that it's an input rather than output. Over the last 5 years, our dividend has a compound annual growth rate of approximately 10%. I think our actions relating to our dividend during 2020 were a clear illustration of our commitment to our progressive dividend. The increase in the interim dividend is both a further step in our journey and another illustration of our belief in the future prospects and indeed, the cash generation ability of the group. We believe we have repeatedly demonstrated that we are effective stewards of capital. This will remain the case as we deploy the capital on our current investment plan. Collectively, those projects must contribute towards the group meeting its return on capital employed target of 17%.  With a net debt-to-EBITDA ratio of 1.6x, the strength of the group's balance sheet continues to secure long-term strategic flexibility and the group remains strongly positioned within its BBB-, Baa3 credit rating.  I'll now hand it back to Tony for some concluding remarks.
Tony Smurfit: Thank you very much, Ken, and thank you, Saverio. And again, as Ken said, congratulations to you, Saverio, for getting a deal done in such an incredibly short period of time. And also, thanks to the Dublin team for their work in making sure that, that occurred. I hope that the last 25 minutes or so have given you a sense of the really great journey that we and Smurfit Kappa are on. When we raised equity a little over 8 months ago, it was to accelerate our investment plans to take advantage of the many opportunities we saw before us with the balance sheet with significant strength. Market conditions are probably better than we had expected at the time, and we have, as a consequence, continue to accelerate our capital plans.  While costs are also much higher than anticipated, these are being offset by progressive and continuing price recovery in our end markets. We've also experienced strong customer retention and growth as our integrated business model gives security of supply in addition to the many benefits customers get from dealing with our innovative packaging solutions. The mega trends of e-commerce and sustainable packaging solutions have clearly accelerated. And as such, we continue to invest strongly to take advantage of this for all stakeholders.  As a company, we've always stated that we will retain our agility, and we continue to demonstrate this by our actions. Our recent acquisitions, most notably, Verzuolo, show that our experienced management team are able to find significant value creation opportunities. Perhaps even more notable is that in every geographic territory, we're finding investment opportunities to either follow customer growth or reduce our cost base.  Our geographic balance, our integrated operating model, our unique product offering and our leading market position have positioned Smurfit Kappa optimally within an industry that has transformed prospects. Over decades, we have developed the leading innovative products in the industry, produced on assets that are world-class and truly irreplaceable. After what was a very challenging first half due to significant cost inflation, we expect strong and accelerating earnings growth for the remainder of the year. Again, I would like to pay tribute to all my fellow employees in Smurfit Kappa that continue to deliver for our customers and all stakeholders.  With that, operator, we will now turn over to questions from the floor. Thank you all for being with us.
Operator: [Operator Instructions]. Our first question comes from the line of Allan Smylie.
Allan Smylie: It's Allan over at Davy. So I'll stick to the rules and ask 2 questions, please. The first, just with respect to the acquisition, it would be useful to contextualize how the additional volumes are feeding through to your integrated model. You flagged out your current short testliner position has been increasing ahead of expectations. So just the latest numbers around that short testliner position would be helpful.  And the second question relates to box volumes. The backdrop is clearly very strong. It looks like European volumes were up 13% to 14% in Q2. So if you could talk through how July has progressed to date and your current thinking on the third and fourth quarter.
Tony Smurfit: Thanks, Allan. Maybe I'll ask Saverio to jump in on the acquisition. But I mean, basically, as we said in the commentary, we're in a sold-out position, and we don't have enough paper and we have grown much stronger than anticipated. And obviously, we need paper and there is very little paper around on a global basis. We don't expect that to change in the short or even the medium term because most of the new capacity has already been introduced. Obviously, some will be ramping up as we go through the second half of this year and the first half of next year. But still, nonetheless, the growth levels of the market are still very strong. So we would see. I'll ask Saverio to jump in on how the acquisition is seen within the company and how it's going to work.  But volumes in the second half, I mean, obviously, we're -- at the end of July, we've seen a continuation of what we saw in the first half. They're very strong. We're -- when we talk to customers, we're talking about October lead times now. And I think that it's unlikely to change in the fourth quarter because that is traditionally a much stronger quarter anyway. So we see nothing on the horizon that's going to be negative for box volumes at this juncture.  Obviously, Allan, you have to bear in mind that Q4 last year was extremely strong. So the comparison, I wouldn't suspect that we'll see 14% growth year-on-year in fourth quarter, but we're certainly anticipating strong growth. Saverio, do you want to just talk about how the acquisition is seen within the company and how it's going to slot into our short position?
Saverio Mayer: Sure. Sure. When we look at what we forecast in terms of evolution of volumes, I mean, we are -- today, we are 650,000 tonnes short on recycled paper and still slightly long on the kraftliner paper. So this tonnage is going to put us in a much more balanced situation to take the growth. And it's perfectly located in the region where we have been historically short, meaning Italy, France and Spain, which, by the way, are very active areas that are -- where we are having many opportunities to grow.
Operator: Our next question comes from the line of Lars Kjellberg from Crédit Suisse.
Lars Kjellberg: Just coming back to your strong performance, resilient performance in H1 and, of course, your guidance of strong progressive accelerating growth in H2. Maybe Ken, can you provide us bridge of the moving parts in H1 and directionally, of course, how we should think about cost, volumes and price? Progressive is the word in H2 to get back to that strong and accelerated growth that you mentioned in your guidance. And Tony, you mentioned plastic trays as another massive opportunity for you in terms of sustainable packaging. Can you put into context now, you have a number of projects and products and offerings, where you are, where you see this business heading and how it can add to your underlying strong growth trends from a structural point of view?
Tony Smurfit: I'll give the first question to Ken, but I'll take your second question. I think the reality right now, Lars, is that most customers are just worried about supply of whatever they're buying. I think they're buying -- whether they're buying plastic trays or corrugated trays or plastic tubs or corrugated tubs, there is massive shortages of everything. Our customers are committed to moving big volume away from nonbiodegradable, nonrecyclable businesses to corrugated and paper-based packaging. And we see that across practically every company that we talk to.  I would say there's some delay on that because of the current shortages that exist for everything. I mean, if we have tomorrow morning a customer come to us and said, we want to move a plastic tub to corrugated, if it was 30,000 or 40,000 tonnes, we would have great difficulty doing it. So we would have to figure out a way to make sure that, that happens over a, I suppose, a planned period of time with the customer. I was talking to a very large customer a month ago, and they want to move away from plastic around their cans, but they don't -- they can't stop their lines because their demand is so good. And we've got a number of projects with this particular customer. So I would say that because of the environment, the sustainable packaging side of things is progressing at the lower level, but the big volume level isn't progressing as quickly as we would all like. But frankly speaking, Lars, it suits us right now because we just don't have the capacity. But it's -- the trend is there. It's a massive trend. And I mean, Saverio, I don't know if you want to jump in and say something just on that. And then, Ken, you maybe take the first question. You're on silent there, Saverio.
Saverio Mayer: I can only add that there are more -- as you said, probably it's been a little bit delayed by all the emergencies and the COVID situation and all this kind of things. But there is an enormous amount of projects for recyclable and biodegradable packaging, and we are really looking into many of those. And it's at 360 degrees, meaning, in all market segments, there are huge opportunities. And that's why we are so confident about the capability of developing new products and stabilizing this growth to a reasonable.
Tony Smurfit: Ken, do you want to take the first one?
Ken Bowles: Sure. Lars, I was looking at, if you like, the bigger moving parts. So if you take OCC, firstly, for the first half, that's probably a headwind of €192 million. I think if you mark-to-market from where we are now, it's probably €200 million, call it, €250 million for the second half. I think if you look at energy, I think we now see -- I think the last time we spoke, we probably thought energy was something of a headwind of, call it, maybe 60 to 70. I think we probably see that more like 100 now, which close to 30 was probably done in the first half. But I think we're basically hedged out for the year now. We're close to 90% hedged in energy. So I'm not expecting much movement on that. We've seen rises. I mean, as Tony talked about in his script, we're seeing kind of general cost inflation rise. So even across things like starches and pulps and dyes, I think for the year, we'd probably expect -- it was €10 million in the first half of the headwind, probably an extra €20 million in the second half. And equally on distribution, maybe €10 million the first half, €10 million the second half. But I think then you have to kind of flip that around the piece and look at some of the things we're doing to offset that. And I think certainly, we've seen some of our niche businesses perform better. We're continuing to drive out cost in the area of SG&A. Clearly, we're not traveling as much. There's still some savings there.  And I think it's also when you get back to the operational efficiency and the superb job that Saverio and the team in Europe are doing and Juan and the team in the Americas are doing just in making sure that in a high-volume, high-growth environment that the cost base is being kept in check and indeed being driven down.  I think the last piece of that puzzle then, Lars, is you also got to take into consideration where we are, if you like, and why we think strong accelerated in the context of box pricing. And if you look at -- as with the sequential movement on box pricing, which is probably more -- the more important measure as we sit here today, which is Q2 over Q1, was a 5% increase in the box price, which gives you and I think gives us the confidence as we kind of move through the second half of the year. I think if you asked us, do we think we're going to get them, I think the answer from the 3 of us will be absolutely because it's an imperative. There's no choice here.  And so I think when you look at that kind of rising cost environment and those kind of big moving parts but balance that against what we know we have to do and the fact that we're already doing it, I think is what we give that kind of confidence around that statement at the end of Tony's outlook.
Lars Kjellberg: And just to follow up on that. Volumes, of course, you called out maybe it's now €20 million drop through to EBITDA. And what do your standard box prices in that considering the growth in the first time? I think, in the past year, every percent equals €45 million or thereabouts. Where should we look at that number now?
Ken Bowles: Yes. I think if you look at the 1% volume, call it, 17% to 20%, I think 1% price, €45 million to €50 million, that kind of space. It's moved slightly, Lars, but not materially.
Operator: Our next question comes from the line of Justin Jordan from Exane.
Justin Jordan: I've got two quick questions. Firstly, just on, I guess, cost inflation versus price hikes. You're in a really strong position in Americas where actually margins in the first half up year-over-year. Ken talked about your 5% box price increases achieved quarter-on-quarter in Q2. I assume that's Europe. Can you sort of just help us frame your confidence in getting to, hopefully, a situation in Europe where margins would be up year-over-year? Is that dependent upon continued strong box demand to achieve further box price increases in the second half of 2021 and 2022? Or what are the other sort of potential factors that could go right or wrong as they were on achieving similar margin progression in Europe as you've achieved in Americas?  And then just secondly, on Slide 5, the leadership innovation. Can you help us understand the sort of the multiyear drivers that you have of e-commerce growth and sustainability, how important they are to the longer-term growth of Smurfit Kappa? You're very helpful to give us 9% 2-year stack of volume growth in the first half of 2021 versus first half of 2019. That's incredibly impressive versus the historical industry growth rate. And I'm just trying to understand, prospectively, if you think forward over the medium term, what are the sort of benefits to innovation to the medium-term growth rate of Smurfit Kappa, please?
Tony Smurfit: Okay. Thanks, Justin. Let me just think about -- basically, I would say that the second half, with regard to recovery, is effectively done. Our contracts are already moving forward. And some of them will click into the first quarter of next year. If you remember in the first quarter this year, we had some -- despite paper going up, we had some negative prices going down to offset that because of our contracts. So our business in Europe operates differently to the Americas business, much more -- it's more American orientated in the Americas where it sort of goes up much quicker. And so therefore, their recovery is quicker than ours is in Europe. And that's a historical situation that we've always lived up and down through the cycles, and that obviously benefits us on the way up -- on the way down, and it slows our progress on the way up.  That said, Justin, the price rises have been extremely high and very quick. So we would have very little opportunity to have recovered in the first half anyway. And I think the guys and Saverio and his team in Europe did a great job in getting those margins -- sorry, the price increases through in the second quarter. And we see that in our daily sheet in July further progression, and we'll see that all through the second half. And we have extreme confidence that it's going to get to where we expect it to get to by year-end and into the first quarter because it's effectively done at this stage. Obviously, the one thing that could forestall margin increase, which is an unknown situation, is that there could be further price rises for waste paper or, well, practical -- basically, waste paper to be material other than the forecast that we forecast. And that could forestall some margin improvement. But we would get that back because, obviously, that would need further price increases into paper and ultimately in boxes. So that would make next year better again. So that's the only thing that I would say. And Saverio, correct me if I'm wrong here or, Ken, that would cause us to -- or a great collapse that would cause us to have less margin expansion in Q4 -- Q3 and Q4.  With regard to e-commerce and sustainability and innovation, I mean, I think I've said this, and I think that we are very comfortable that the growth that we see is real and tangible. And our innovative offering, the use of corrugated, whether it's digital or whether it's all the innovative products that we're offering our customers through sustainable packaging or through e-commerce is here to stay. I can't say that it's going to land at 3%, 4%, 6%, 7% on a normalized basis, but we feel very comfortable that the kind of level of growth that we're seeing is here to stay in the rounds. But obviously, it depends on your comparisons year-on-year at that point. But we are seeing nothing that is indicating anything less than opportunity in all of our territories. Saverio or Ken, do you want to jump in if I missed something.
Ken Bowles: No, I think you've captured it all there, Tony, certainly on the first question. Justin, I think Tony's point, which is probably the depressing one is I think that the rate and pace of increases on both recovered fiber and paper. I've kind of probably got slightly ahead of the price recovery in the first half. But as Tony said, as we get through the second half and indeed importantly into 2022, we continue to see that kind of price recovery and progression because, as you know, the world doesn't always operate necessarily on the calendar year. So this story will continue into next year, too. I think that's fair to say.
Tony Smurfit: Saverio, do you want to add anything?
Saverio Mayer: I think the only thing which is -- it's really relevant on what has been the evolution is that it has to be highlighted that this has been the steepest increase of raw materials that we have seen in many, many years. And this is a reality, which is occurring not only on the paper but on many other materials. So this, in a way, we cannot do anything else different than get the recovery of these materials.
Operator: Our next question comes from the line of David O'Brien from Goodbody.
David O'Brien: Firstly, if we can go back to the acquisition, please. Look, we can all work out a reasonable kind of mid-cycle earnings for an asset like this. But I guess a ramp-up phase can kind of muddy the waters in terms of what these mills can be earning. Just wondering, can you put some context on either the 2020 or 2021 earnings at a mill? Would they be above or below mid-cycle at those times? And just some color around that, please?  And then secondly, Ken, you called out a 5% increase sequentially in corrugated box price. How has that pricing dynamic vary between indexed and open market negotiations? And maybe if I could just tag on a Part B, what scale of total increases do you expect over the next 12 to 18 months?
Tony Smurfit: Ken, I'll give you both of those.
Ken Bowles: Thank you, Tony. You're so generous. I'll take the second one first, David, and you know my answer to the second part of your question, which is we don't forecast box price increases. But I think it's back to Saverio's last comment, which is an inevitability and a requirement to recover all of the cost input pressures that we see. And also, I think you'd point back to our track record here and how we've done it. And as said, if you think about where margin starts off this year versus where like it ended the last time we rack up this kind of point and you can see the kind of rate progression and the platform we're starting from is ever stronger.  I think it's only fair to say that the 5% Q2 over Q1 was probably more weighted towards the free market than the index. I think we see the index going more through in the second half of the year and indeed into the first part of next year. So that's -- and if you remember, David, back in the first quarter of this year, we actually saw a slight dip down in index prices because of the way paper had worked its way through in the back half of 2020.  On the acquisition itself, as you rightly say, the mill is in ramp-up phase. I think you expected to get to 500,000 tonnes sometime probably not necessarily maybe in 2022, but not a million miles away from that, but certainly in 2023 in terms of full ramp-up. This year, for us, because it will complete in the fourth quarter, probably very little contribution to earnings. If you took East and Peru and Mexico all together, you're probably talking 10 million to 15 million in the round in terms of incremental EBITDA.  And then to your point, I suppose, sort of go back to the point Saverio made in his presentation, which is we bought this thing well below replacement value. So if we think about a multiple of -- for this particular plant in the context of a cycle in our normal industry and you can take any input cost, any output cost you want, it's 6x and below when you add in synergies. So a fantastic piece of kit to get. But I think what is also important to remember here is the bigger benefits for this relate to both the integrated model and the continued strength of that, but also what's been a feature, certainly over the last year and continues to be a feature, which is security of supply. I mean, if we're thinking about differentiation and how we are better than others, then it's around that kind of security supply piece and the ability to continue to do that.  And I suppose the growth we've seen, and as Saverio talked about the short position we now see, this is a necessity. And we've executed. I think, track back to quarter 1 or the year-end, I mean, the question we got a lot was what are you going to do if paper continues to be the way it is. And we sort of here's your answer, we've kind of solved that particular equation. But more importantly, we've also retained the option for further internal investment as growth kind of continues into the future. So I know that's probably not the pinpoint answer you want, David, but I think it's better to think about this thing as kind of 6x and below. And if you consider where our trading multiple is, it's just a super deal all around.
David O'Brien: No, that's very clear. Look, it's phenomenal model. If I could tag on one additional, if I could. In terms of bringing back capacity from 500,000 to the 600,000 potential, is that a material capital outlook?
Ken Bowles: No. I think it's around 20 million in the round. It's a very small number.
Operator: Our next question comes from the line of Cole Hathorn from Jefferies.
Cole Hathorn: Just one longer question on the European margin division. I mean if you look at this H1, you're at 16% EBITDA margins when costs are higher and you still haven't been able to push through your box pricing as much as you'd like, and you're going to get into next year. But this compares to 2011 to 2016 of, let's say, 13% to 15% EBITDA margins. I mean, it seems like you've got the structural benefit from higher margins and higher return on capital employed through the cycle. Could you talk to some of the drivers of what's taking this margin progression from where it was to where it is today and kind of indicate that kind of higher margins and return on capital employed through the cycle? It's the first question.  And then the second question is around supply and demand in containerboard. You've talked about low inventory levels. You've talked about good demand. Where do you see the market into 2022? I think 2021 remains tight, but how do you see the supply and demand balance next year into 2022?
Tony Smurfit: I think they're both for me. But Ken or Saverio, jump in. With regard to the margin progression, Cole, I suppose that's just a lot of work over a long period of time. We've continued to invest behind our business. We've closed less efficient facilities. We've invested behind better facilities. We've continued to innovate. We've continued to gain customers. So it's a combination of things. But if the question is, are we structurally different? I mean, this company is unrecognizable to what it was 10 years ago and 5 years ago because we are continuing to upgrade our assets and upgrade our efficiency levels. We continue to do cost takeout plans. So we continue to, as I say, innovate and make sure that we get charged for our products in the -- sorry, we charge the correct amount for our products.  And we tend not to chase volume for volume's sake. I mean, we give our customers a fantastic service, a fantastic product and leading innovation, and we expect that we get a reasonable return for it. And we've been -- our Medium-Term Plan of 5 years ago or 6 years ago now is well implemented, and that's done all of those things that you've said have structurally brought the margins upwards by a considerable amount. And we'd feel comfortable that we're going to continue that progression as we go forward.  The second question was on the market. What was the second question, Cole? Sorry, I was just a bit...
Saverio Mayer: Supply demand for 2022.
Tony Smurfit: Yes. I think overall, Cole, we would -- I'm certainly very bullish on 2022 because I think what you see is you see, assuming there's no bad variance again or something worse than what we currently see, the economies are opening up. There's plenty of spending power. There's stimulus coming into the world, both from the Americas and in Europe. We haven't even seen the start of the stimulus package out of Europe that's been allocated to the countries. In the Americas, the -- if there is an infrastructure build that's passed, most of the workers that will be doing that work on the roads and the bridges are Latin American workers, and they will send money home to their -- traditionally, they send money home to their native countries and their families.  So we would expect to see very strong consumption next year, which will lead to very strong demand addition to the drivers of sustainability and e-commerce. So I don't -- I'm not at all bearish. Let's not say I'm right, but my own view is that we would expect to see strong demand as we move forward. And certainly, all of the indications and, Saverio, you can talk to this if you want, all of the indications from our customer base, all of the positioning that we're doing with our customers is that we expect to see a huge amount of new volume coming into our system in Europe and the Americas because of the customers' needs and demands for our products. But Saverio, do you want to comment on that?
Saverio Mayer: I think I can only add that during all my contacts with big brand owners, I mean, this is exactly how they see it. They see accelerating and investing. They are investing heavily to keep up with the acceleration. And so for what is visible today, we cannot expect nothing else that a very good level of activity going forward.
Tony Smurfit: Ken, do you want to add in?
Ken Bowles: No, I think the only thing to add on supply/demand, Cole, is that when you look to next year, there's no new machines starting up. So what's coming into the market is just continued ramp-up of existing projects against where we sit today, which is inventories well below what we'd consider to be balanced levels.
Tony Smurfit: It's actually interesting, Cole. When you -- when we hear of some machine having an outage, it creates panic in the marketplace because it takes 2 or 3 days out of the system, and that's lost tonnage and everybody starts scrambling because the market is really, really that tight. And our own problems that we have in PTO in June were certainly unhelpful to our system because we lost, I think it was about 15,000 tonnes or 16,000 tonnes of kraftliner, which we didn't expect to lose, and that has created a large hole for us to try and fill, which, thankfully in July, we've bridged some of that because they've run pretty well.  But still, it's -- when you have any shorter disruption to supply right now, it's very problematic. I think as well to look forward is that when -- if the container market, as in the shipping container market, which is some way normalized, there would be a lot of export demand for our European product of waste, base looting our line of board because, at the end of the day, the world is still growing strongly in containerboard, and there's, as I say, very little of it available.
Operator: So our next question comes from the line of Mikael Doepel from UBS.
Mikael Doepel: A couple of questions. First of all, on the European Commission's Fit for 55 package and the forest strategy, what would you say are the most crucial issues for the paper and packaging industry there? And what is your initial take on the proposals?  And then secondly, if we think about the Verzuolo acquisition in the context of the earlier announced €1.2 billion to €1.4 billion investments, which also included containerboard capacity increases to debottlenecking, has this number changed now, i.e., is this acquisition taking away some of that earlier planned CapEx spend?
Tony Smurfit: On this, I'll let Ken answer the first point, Mikael. But on the second point, the answer is we still -- we'd expect this to be really on top of what we plan to do. Our results are higher than anticipated, and we think we can easily afford this within our particular framework. We need the paper. We have other paper capacity announcements, which we can delay a couple, and we will. There will be around the edges that will delay a small amount of capital implementations for additional capacity as we absorb this mill. But that's really around the edge of stuff. And as Saverio said, as Ken said, that we have the potential to upgrade a paper machine in our Parenco mill, which we will probably do at some point in the future, but it's probably later rather than sooner because of this acquisition. So I think this is probably in addition to what we've planned -- sorry, not probably, is in addition to what we planned because this gives us earnings straightaway. It gives us capability to serve our customers straight away and is a big win for the company. With regard to the first point, Ken, on sustainability?
Ken Bowles: Sure. Mikael, I suppose our own plans are very much in line with what the EU has kind of outlined. That 55 by 2030 is very much what we would have in our own sites. And as you know, we've always benchmarked ourselves against the 2005 baseline anyway. So we're probably ahead of really where regulations are coming out because we've been doing it for so long. This isn't our -- we haven't come to this lately. We've 14th year of SDR, 10th year of assurance. It's been a constant focus. We've always had a keen eye on how our business and our industry sits, and particularly Smurfit Kappa sits in the context of its connection with both nature, the community and wider society. So what we see coming out of Europe, it doesn't trouble us. I actually think it's supportive to the overall case for paper packaging being a sustainable industry and very much fits into that renewable, recyclable, in some cases, reusable then we'll certainly buy degradable in terms of product range.
Operator: Due to the time limit, we will take the last question from here. So our last question comes from the line from Sam Bland from JPMorgan.
Samuel Bland: I've got two questions, please. The first one is on e-commerce. We've had a kind of step change up in box volume. Do you mainly attribute that to e-commerce because of the pandemic? And just any comments on sort of how sustainable that e-commerce volume might be as we hopefully come out of the pandemic.  And the second question is, I think you said earlier that sort of box prices were now kind of set for H2. But shouldn't there still be some -- whether it's sort of 3-month type index contracts or the more freely negotiated volume where you can still get further box price increases on top of what's already been agreed in the second half of the year?
Tony Smurfit: Yes. I mean you're entirely right. I mean we're talking about the second half of -- we already see the momentum of what's already been agreed. It's going to happen. But of course, as paper prices have risen in July and rising again in August, we will start to negotiate freely the free market pricing on those and get some of that relatively quickly. So yes is the answer, we will have more box pricing in the second half from free market stuff. That, for example, if you take the July and August ones, we probably won't see the benefit of those until the first part of next year, so with the contracted -- a lot of the contracted tonnage. So the answer to your question is, yes, we will have more box pricing in the second half from free market customers.  With regard to e-commerce, I don't think -- I think that the e-commerce situation has just been an acceleration. I think that we're already seeing very strong e-commerce growth from a number of different customers over 2019. That has accelerated because of the pandemic. But I don't think there's a single commentator in the world that's saying that Amazon is going to go negative growth or any one of those companies that are doing e-commerce are going to pull back. I think the world is now set for using e-commerce as a situation that is going to continue to grow. Whether it grows at pandemic-type levels or not, that's obviously something that you'd have to take a view on, I would say, probably not going to take that kind of massive growth, but it will still continue to grow strongly. Saverio, do you want to add anything?
Saverio Mayer: I think every single brand and everything is exploring to open their sales to this channel. So I see no way this is going to slow down. Also, it's not the only sales channel of distribution. And also the others are -- also the retail part is having satisfaction. So I see e-commerce is only a part of that, and it's going to be there to stay, but it's not the only one.
Tony Smurfit: Thank you. So that being the last question, I would like to thank you all, as always, for your time today and, of course, for your ongoing support of the Smurfit Kappa business. I sincerely hope we've given you a sense of the exciting journey that Smurfit Kappa has been on and is on.  In the first half, the Smurfit Kappa team has navigated, as we have said, many challenges. And as I've said, we have delivered to our customers. Amazing how many customers don't notice the problems in our industry because of our tremendous delivery record with them. And I was talking to Saverio yesterday about a particular customer, where they have problems in every area with the exception of corrugated boxes because we've been able to deliver to them. So that's a testament to our company. We're not perfect by any stretch of imagination, but we're doing a really good job in delivering for our customers.  It is -- a customer is central to our capital allocation decisions. And most of our recent acquisitions are either following customer growth, are delivering security of supply for our customers, and that includes a Verzuolo mill, which is really a truly fantastic deal for this company, recognized internally and externally already by the number of things that we're hearing. So while Smurfit Kappa is never complacent, I think you can gather that we're increasingly excited by our prospects and the continued opportunities that are ahead of us. So I'd like to thank you all again. I wish you all a very good day and hope that you have a good summer holidays. And let's hope that this pandemic is behind us sooner rather than later. So take care all of you, and stay safe.